Manfred Knof: Good morning, and welcome to our conference call. We are looking forward to present and discuss our performance of the first quarter. We had a strong start in 2024. The first quarter with its record result clearly supports our equity story. Our earnings power has significantly improved. Both client segments effectively managed the rates environment and successfully developed their fee business. The good development of our revenue base is the foundation of our strong net result of €747 million. This translates into a healthy return on tangible equity of 10.5%. Obviously, the double-digit return in Q1 is seasonally supported by high client activity and low risk provisions, but it also includes a burden of more than €300 million from Swiss franc loans in Poland. Hence, it is another good step towards achieving our targets. With our client-driven business model in a rates environment between 2% and 3% until 2027, Commerzbank will be able to earn its cost of capital. On this path to 2027, we are very confident to reach at least 8% return on tangible equity for 2024. And let's keep in mind that the current rate -- the current return is based on a very high capital level. This 14.9% in the first quarter, we run 140 basis points above our target ratio, which translates into more than €2 billion of capital not considering any future earnings. In essence, it has never been clearer than today that Commerzbank has a huge potential for capital return, and we will deliver on this. Strong performance in the first quarter has been achieved in a very dynamic macro environment. Recessionary trends, fading rate cut expectations, political uncertainties to name just a few require strong navigation skills of our whole management team. So far, we did well. And going forward, we tend to see the glass half full than rather half empty. The German leading indicators point to a pickup of GDP. German PMI and Ifo came in better than expected. We are, however, not out of the woods and challenges remain, but German Mittelstand is highly resilient and shows creativity and coping with the challenges. Overall, we do no longer expect the recession in Germany for 2024. Looking at inflation, we are not strong believers of a fast track towards 2%. We are rather convinced that the inflation problem is not yet solved. Service prices should continue to rise because of rapidly increasing wage costs. Hence, core inflation is likely to stabilize well above 2% and should prevent ECB from easing their monetary policy significantly. We expect the ECB to cut rates by 75 basis points by the end of this year, largely in line with current market expectations. The expected sticky inflation requires us to keep the high level of cost discipline to safeguard our targeted cost/income ratio. Loan demand in Germany is still muted. When talking to German Mittelstand clients, you take away 3 key messages. First, they're cautious regarding investments in Germany. This is because of an unstable framework for reliable investment cases. Second, they actively tackle the situation by investing abroad, especially when it comes to add-on investments. Third, Commerzbank is their key banking partner. They want us at their side, not only for domestic, but especially when it comes to international business. Our deep understanding of their needs and our global presence along trade corridors significantly drive our Mittelstand business. Overall, our customer-centric business model with high asset quality pays off and provides tailwinds for our further business development. And this leads me to the update on our management priorities for 2024, which we presented with our full-year '23 disclosure. First, on capital return. We delivered €1 billion for 2023 by means of a €600 million buyback and a €0.35 dividend. Our next step is planned for August. If H1 figures come in as expected, we will apply for next buyback as part of the planned payout for 2024. On fee income, we had a good start in 2024. Corporate clients did exceptionally well, and the run rate in private and small business customers was stable compared to last year. The additions from Aquila and Global Payments GV after closing later in the year, I'm very confident to reach or exceed our 4% growth target in fee income for 2024. And our standing in the German market provides us with additional confidence. We see ourselves well positioned in a competitive market. As our new business model gains more traction every month, we convert more leads into business. This additional market share will help to offset fading tailwinds from the rates environment. This leads me to the third priority, strict performance and execution management. Two topics are on the top of the agenda when it comes to business steering. First, stringent performance management on fee generating business, senior sales management in the business divisions are laser-focused on fee business and constantly challenged and supported by the whole management team. Second, cost/income ratio steering is already well established and starts with strict cost discipline. The order is clear. Additional revenues provide leeway for business initiatives and investments, and it's not the other way around. In February, I pointed out that customer loyalty is extremely important for achieving our goals. Step by step, we made good progress in this respect. And the recent awards won prove that we are on the right track. In the field of private customers, Commerzbank and comdirect have been awarded as best branch-based bank and best direct bank, respectively. Furthermore, Commerzbank has been awarded by Global Finance Magazine as Best Bank in Germany. And also when it comes to employee satisfaction, Q1 provided us with encouraging results. The employee survey showed an improved sentiment and spirit, but there's clearly further upside potential. We, as a management team, are highly dedicated to improving employee satisfaction. As one part of this, we all will further strengthen the high level of interaction with staff in Germany and abroad. Let me conclude with my key takeaways for today. We have made a further step towards our targets for 2027 and to earn our cost of capital. We had a strong start in 2024 with a return on tangible equity of 10.5%. And we confirm our outlook for 2024 and especially the increase of net income compared to 2023. We are highly confident to deliver a payout of at least 70% for 2024, translating into €1.6 billion of capital return. And now Bettina will walk you through the financials. Over to you.
Bettina Orlopp: Thank you, Manfred, and also good morning from my side. Before I start with the financials, and particularly for those who have followed Commerzbank for a while, I want to quickly mention the changes in our disclosure. The aim is to simplify the disclosure but give more details in the areas where they matter. We have, therefore, put even more emphasis on the 2 key revenue drivers, interest income and fee income. On the other hand, we discontinued the differentiation between underlying and reported revenues as exceptional items have lost relevance in the last quarters. In the appendix, you can still find a table detailing the €28 million exceptional revenue items this quarter. I hope you will find the new format helpful. Our Investor Relations team is very happy to take your feedback. And now to the financials of the quarter. As Manfred already said, we had a very good start to the year with a record operating result of nearly €1.1 billion despite booking €318 million provisions for FX loans at mBank. This led to a net result of €747 million and a double-digit LTE for the quarter. We have grown customer revenues and managed costs in line with our target. With a cost/income ratio of 58%, we are well on track to reach our target of 60% for the year. The quality of our loan book remains high, reflected in the moderate risk result and the further improved regulatory capital ratio of 14.9%. So overall, we made good progress in all relevant dimensions. I will now go through the revenues in detail, followed by costs and the risk results. Overall, revenue growth has been 3% year-on-year. Adjusting for provisions for FX loans at mBank, revenue growth has been 8%. This is based on good customer activity in both customer segments reflected in interest and fee income, but also the fair value result improved by €19 million based on good capital markets business with our customers. Other income, excluding provisions for FX loans at mBank, is €21 million higher, reflecting the early repayment of some legacy loans. I will touch on the FX loans later, and we'll now focus on NII and NCI. We maintained net interest income on the same level reached last quarter, a very good result and above our expectations. Corporate Clients NII is €28 million lower quarter-on-quarter due to an increasing deposit beta, driven by changes in the deposit mix and overall stable deposit volumes. Private and small business customers in Germany could increase deposit volumes, more than compensating a higher beta. As there have been offsetting effects between Others & Consolidation and PSBC, it is best to compare their quarterly interest income development in combination. In total, their NII increased by €25 million quarter-on-quarter. mBank has maintained interest income on the same level as in Q4. The next slide provides an overview of the deposit and loan volume developments of Commerzbank ex mBank. Loan volumes have been stable in both customer segments. We have seen slight growth from investment loans in international corporates, and overall, a steady contribution to P&L from the loan business. On deposits, the shift out of sight deposits to term and call deposits in both segments is still ongoing. However, PSBC attracted significant new money and call accounts growing total deposit volumes by €9 billion or 6%. These deposits contribute to revenues, but comes clearly at a relatively higher deposit beta. This brings me to the NII outlook for 2024 on Slide 11. Interest income remained at a higher-than-anticipated level in the first quarter. Supported by the stronger-than-expected €9 billion deposit growth in PSBC Germany with total deposits reaching €261 billion. We expect deposit volumes to be only moderately higher on average in the rest of the year. As mentioned, the additional deposits have been P&L accretive, but come at a higher beta, bringing the average beta to 35% in Q1, earlier than originally anticipated. Assuming average stable volumes for the rest of the year, we expect average beta to increase with lower ECB rates. To cushion the effect, we have already reduced the rates offered for new call accounts in anticipation of future rate cuts, and we'll continue to adjust our pricing. With this active management and increasing attractiveness of securities at lower interest rates, we might see some outflow of deposits later in the year. But our aim is clear, to optimize the balance between volume and price. Further, the forecast for the ECB deposit rate is now around 3.8% on average for 2024, with the first rate cut in June. This is higher than the expectations in February for the forwards predicted an average ECB rate of around 3.5%. The benefit from the replication portfolio has not materially changed, but we intend to increase the size of the portfolio. The aim is to stabilize future NII by locking in longer-term rates. Our outlook for loan volumes and margins is unchanged. Now looking at mBank. mBank has raised the outlook for interest income. With interest rates in Poland predicted to largely remain at current levels, we now expect mBank's NII to be above last year. In total, our overall 2024 outlook for net interest income has improved from €7.9 billion to €8.1 billion. Let's now move to commission income. The usual seasonal pattern has driven net commission income in the first quarter. This has been more pronounced than usual in Corporate Clients, which had an exceptionally strong start across all product and client groups. PSBC Germany's commission income has been on the same level as in Q1 last year and excluding a one-off from Commerz Real. mBank also had a good start, slightly increasing net commission income. As an add-on to organic growth, we will start to benefit from our recent acquisitions later in the year. Overall, we are very confident that we will reach our 4% growth target. Given the importance for future revenue growth, we provide you with a further breakdown of the commission income on Slide 13. In Corporate Clients, all 3 main fee-generating product lines have grown in the quarter. Capital markets, and in particular, bond issuances and syndications were extremely active in the first quarter, leading to a 9% fee growth year-on-year. In Cash & Trade, we have seen stronger international business, surpassing the level seen in Q1 last year. And finally, the lending business generated more from domestic guarantees and loan fees. PSBC Germany had underlying commission income on the level of Q1 last year. The securities business ex Commerz Real was slightly better, supported by higher securities volume, which continued to grow in the quarter to now €230 billion, supported by the current market performance. The payment business was stable. Let's move to costs on Slide 14. We have continued with our approach of maintaining strict cost discipline. Operating expenses ex mBank are nearly on the same level as last year as salary increases and investments were compensated by active cost management. Overall costs are down 11% year-on-year. Compulsory contributions decreased in 2024 as contributions to the single resolution fund were suspended after it reached its target volume. mBank has increased operating expenses as a result of business growth and FX effects. This is in line with mBank's cost-income ratio steering. Overall, we are confident that we will reach our cost-income ratio target of 60% for 2024. The next slide details the risk results. As in the first quarter of last year, the risk result was moderate in Q1. It was driven by a few single cases and releases. This is again a testament to the high quality of our loan book. There has been only a minor change in the top-level adjustment with a net release of €30 million as a result of the usual quarterly review based on slightly improved macroeconomic assumptions. This concludes the overview of the key line items. And I will now move to the results summary. Our record operating result is based on the good performance of all customer segments with mBank being lower year-on-year only due to higher provisions for Swiss franc mortgages. Others & Consolidation's lower result is mainly due to adjustments in the replication portfolio, which are neutral on group level. The tax rate is again slightly elevated at nearly 30%, but below the 35% level we have seen last year. This is due to provisions for FX loans that are not tax deductible. The full-year tax rate should be on a similar level. On the next slide, I will briefly cover the operating segments, starting with Corporate Clients. Corporate Clients' record result is broad-based. All client groups contributed to the solid fee growth. This has more than compensated lower revenues from deposits compared to the last quarter. The operating result was further strengthened by lower costs. The return on capital also improved further, not only due to the good result, but also due to lower RWA as ratings improved for several large corporates. PSBC Germany also had a record quarter. Private customer success in attracting deposits led to higher revenues and was further supported by the adjustment of the replication portfolio in Q4 last year. Small business customers also benefited from the replication portfolio, but to a smaller extent. The operating result further reflects the very benign risk result as well as lower costs. With RWA in the same level as Q1 last year, this led to a strong increase of the return on equity to more than 40%. On an operating level, mBank had its best quarter ever. mBank continues its growth path. We firmly believe they will continue to deliver a great underlying performance. However, as in past quarters, a significant part of mBank's profitability is eaten out by provisions for the legacy Swiss franc mortgages. mBank has booked €318 million this quarter and continues to very proactively reach out to customers seeking settlement agreements for these mortgages. So far, nearly 16,000 settlements have been agreed. Nevertheless, it is quite likely that further provisions will be required in the course of the year, albeit below last year's level. In Q2, we anticipate to put provisions for the prolongation of credit holidays by the Polish government. On current estimates, this will be a burden of around €80 million. Also well below the underlying potential, we nevertheless expect mBank to contribute more to group results than last year. Finally, a quick look at Others & Consolidation. Others & Consolidation's operating loss is mainly driven by the effects of adjustments in the replication portfolio that are neutral in group level. These effects should reduce over the year, but it will still be able to track overall. The operating result, therefore, should improve in the next quarters. While also highly dependent on valuation effects that are hard to predict, I nevertheless expect the operating result to be more or less neutral for the financial year. This concludes the segmental view. I will now move to RWA and capital development on the next slide. The CET1 ratio has improved to 14.9%, further increasing our buffer above regulatory requirements. This is due to €2 billion lower on risk-weighted assets. The driver has been improved ratings of several larger corporates. Capital has been nearly unchanged. With a targeted capital return to shareholders of at least 70%, we are not including the quarterly net results in capital into a year. When our recent acquisitions are closed, we will see a small impact of around 10 basis points in our capital ratio. We currently expect closing in Q2. This brings me to our outlook for capital distribution for 2024. With our capital buffer well above regulatory requirements and a record result of the first quarter, we are making good progress to fulfill the requirements for a substantial capital return this year. Further, we have received the authorization from the AGM to again repurchase up to 10% of outstanding shares. If Q2 develops as expected, we will have a strong basis to apply for the next share buyback with the H1 results. This will be a first step towards reaching the payout target of at least 70% as laid out by our capital return policy. And now to conclude with our updated outlook for 2024 on Slide 23. As mentioned, we have improved our outlook for interest income from €7.9 billion to €8.1 billion and confirm our target to grow fee income by 4%. We confirm our cost/income ratio target of 60% and continue to expect a risk result of less than €800 million. We expect the CET1 ratio to decrease during the year, mainly due to planned RWA growth, but to be still well above 14% at year-end. Our outlook for the net result is unchanged. We continue to target a payout ratio of at least 70%, but obviously not more than the net result, consisting of a dividend and share buybacks in accordance with our capital return policy. And please keep in mind that a share buyback is subject to approval by the ECB and the German finance agency. With a targeted payout, the total capital return yield will be above the 9% we delivered for 2023. This confirms our commitment to return the majority of earnings to our shareholders and should be a key element of an investment case for Commerzbank. Thank you very much for your attention, and we are now very happy to take your questions.
Operator: [Operator Instructions] And the first question comes from Kian Abouhossein.
Kian Abouhossein: 2 questions, they're both related to net interest income. The first one is, could you please tell us the exit beta at this point? And the €8.1 billion target that we now have in 2024, can you talk about what beta you're assuming for the year and what exit beta you're assuming for 2024 if we can talk about that even if not detailed numbers? And the second question is on replication portfolio. You mentioned you're pushing out the benefits. It does have a negative impact on '24, but you don't tell us what the positive impact is on 2025 and beyond. If you could talk, please, in that context around this €7.9 billion NII target in '25, is that still intact? Or should we revise that?
Bettina Orlopp: So thank you, Kian. Yes, I mean we have seen with the 35% in the Q1 the somehow higher deposit that we originally expected just due to the fact also that we have seen a much higher inflow on the private client side than we expected. So it's all this interplay between interest rate level volumes and deposit beta. And we have now adjusted pricing, so now deposit beta should go down. But then clearly, with the first cut of the ECB, the deposit beta will go up. So we are assuming in the moment in our outlook, the deposit beta higher than the 35%. But also we assume higher volumes, and we also have assumed a higher average ECB rate. With respect to the replication portfolio, the benefit for this year is still unchanged. It's around €400 million. And yes, we think about increasing the replication portfolio somewhat. We do not really expect any drag for that for 2024, but it should really help to stabilize the coming years. With respect to 2025, we stick to our guidance from February for the moment, which is somehow a little bit below the €7.9 billion because all depends on the question where do we end the year, at what interest rate level, at what volumes and deposit beta, but I would say this is clearly the floor. So if at all, I would rather see upside and not really downside if ECB is not surprising us.
Kian Abouhossein: If I may just follow up, the exit beta that you gave in the past, can you tell us what it is now?
Bettina Orlopp: You mean by end of March? I think it was something around 36%.
Operator: The next question comes from Johannes Thormann, HSBC.
Johannes Thormann: 3 questions from my side, please. First of all, on NII, when do you -- have you already seen the net interest margin peaking? Or do you still expect this to happen during this year? Secondly, could you please provide a breakdown of the €423 million TLA and if there is any need to release impaired losses in '24? And last but not least, on the Polish fixed mortgages, you flagged already additional €80 million for Q2. What is your expectation for the second half of '24?
Bettina Orlopp: Okay. Let me start with credit holidays. This is, at least from our standpoint and the management, I mean, it all depends on the government. It's a one-time effect for Q2. And as we said, we assume something around €80 million, and that's also reflected in our forecast. With respect to the top-level adjustment, €423 million, yes, I mean, if we see now further lightening up of the economic environment, that will also have an impact on the top-level adjustment. We will take that quarter-by-quarter. And you can think about the split that there is a little bit more than half is with Corporate Clients and a little bit less than half is with PSBC. And with respect to the NII, our margin peaking, I mean, I think that if we believe that the interest rate cut will only happen in June, then I would say the second quarter will be also still pretty stable. And then we will see a slight reduction in the coming quarters, but hopefully not too much, again, very much dependent on what ECB is doing.
Johannes Thormann: Okay. Understood. Just on the Polish FX, so you're not currently expecting any big charges in the second half?
Bettina Orlopp: With respect to credit holidays, no. With respect to our FX, specifically Swiss franc mortgages, we can't exclude that. I mean we try to book whatever is necessary based on the behavior, based on the court rulings, et cetera. But you must probably assume also some burden for the second quarter because it's clear we rather put pressure on it to end it as soon as possible, meaning whatever we can do to settle we will do, but some things are not in our hands, but we also believe that '24 burden should be less than '23. And as I said, objective is to put an end to the thing, the sooner the better.
Operator: The next question comes from Benjamin Goy, Deutsche Bank.
Benjamin Goy: 2 questions, please, on capital allocation. So first, I think Manfred made his quote on huge capital return potential. Just wondering, you are in excess capital territory, your Q1 net profit is higher than your last buyback, so can you accelerate the application and the approval process with the ECB? Just conscious trying to avoid another Christmas present or that you can only start in the fourth quarter, really the next buyback. And the second question is on Bettina's comments, I think earlier today, in terms of M&A, where you have a couple of files on the table. Well, I just wonder whether you could provide more color on that. Which areas you are looking at potential sizes, whether it's bolt-ons or not?
Bettina Orlopp: So I mean on capital return potential, we will say that we would wait for H1. I mean we are in constant discussion also with our JST, but it's clear that we want to see first the H1 results. But then, we will immediately start with the application process. Yes, we want to speed it up a little bit, but it's not entirely in our hands because we are reliant on the approval. But given that the size of our next capital return package, consisting of dividend and share buybacks, will be higher, and specifically also, the share buyback should be higher. We all know that we need to start early to make sure that we ended before next AGM. So that's indeed the case. And my comments, I think you're relying to my comments in Bloomberg this morning, and it was about acquisitions that we look in the asset management area. We continue to look to enhance our value proposition here and do selective acquisitions if anything comes on our table, which is attractive for us.
Operator: The next question comes from Vishal Shah, Morgan Stanley.
Vishal Shah: Can I ask a question on deposit beta and deposit balances per se? Look, clearly, the balances have been €9 billion higher in the quarter, and that's reflected in the higher deposit beta. Just given the absence of lending growth, do you continue to -- do you expect to proactively chase deposit balances and keep higher deposit beta or do you see a possibility of still being able to manage the deposit beta down going forward? And then on capital returns, if I could just confirm, based on your previous comments, last year you applied the new buyback with around Q3, so this time would you apply with the H1 results? Or will you apply once the H1 results are done and then a few weeks after that? Those are my questions.
Bettina Orlopp: So on deposit beta and deposit balance, I mean it's very much dependent also on the interest rate level. And as we said, we really try to manage volume and price. It's more the question also that we think that when we see interest rate cuts at securities become more attractive. And anyhow, we believe that securities should be more attractive for our private clients. So what we will try to do is convert some of the term and call money, which is now going down with respect to the interest rate level to turn that into securities. That's a target, but it's always the balancing out, and it's also dependent on customer behavior and what the customers want. So we have a very, very close look on that. I would say, less dependent on lending, we would be more than happy if we would see a pickup of lending, specifically at the corporate client side. And it's a little bit similar story as we stated in February that clients are discussing investment plans. They're considering it. But the action -- at least the action in Germany is still missing. We have seen some activity abroad, but we would wish for more activity in Germany. And there are at least these early indicators that, that might come. On capital return, it's a fair question. We'll wait for the results, but then we will be prepared to then launch the application as quickly as possible after we have published the results of H1.
Operator: The next question comes from Riccardo Rovere, Mediobanca.
Riccardo Rovere: Couple, if I may. First of all is on the credit loss guidance. Correct me if I'm wrong, but Manfred at the beginning of the call stated that now you no longer expect a recession in Germany while the €800 million -- less than €800 million credit loss guidance was based on a mild recession in Germany. So why the number is not changing if the GDP outlook is steadily improving, if I get Manfred's comment at the beginning of the call correct? The second question I have is on -- sorry, again, on deposit EBITDA, of course, if ECB cuts on the 6th of June, one second after the deposit EBITDA will go up immediately, but that is just because the policy rate goes down. It's nothing to do with the cost of the deposits. So I was wondering -- I think the concept of deposit beta becomes kind of irrelevant when rates are cut. So the question here is if she cuts 25 basis points, how much of that can you recover on the cost of the deposits, say, after 1 month or 2 months or 3 months because clearly it will go up just because the policy rate will go down? And then last, but not least, on Poland, now that the coverage is 116% on FX provisions, is there a limit to this coverage or it could go on like that also in 2025, maybe '26, with the same level of provisions now that the coverage is well above 100%? I mean there is no limit in that.
Bettina Orlopp: Yes. Thank you, Riccardo, for your question. So yes, good catch on loan loss provisions. Indeed, I mean, on the smaller than €800 million, it's an elevated risk result for us, and it's linked to kind of recession trends we would see. This is why we say it's clearly below the €800 million. I mean it's early in the year, it's Q1, but we will definitely look at that, and we'll come with an update in Q2, but you see me clearly relaxed on this topic. But I think it's healthy because Q1 is never really representative given that we have this long fourth quarter always to wait for the Q2 developments and then make an adjustment. And I mean still economy is at 0%. That's also not great, right? But I would also be rather positive on this number. And same holds true with the top-level adjustment, which we now will have a closer look on it given how all the indicators are improving. On deposit beta, also good catch, yes. I mean this is why we adjust -- we have adjusted already for in April and May our offerings to make sure that we are some kind of prepared, but there will be some effects on Corporate Clients. Some of the agreements are very much linked. They are basically just a percentage of whatever the rate is. That's an easy part. They will have an automatic change. But in other parts, we have clear commitments out there, sometimes for 3, 6 and 9 months. So it will take time to recover and to adjust pricing. And that's what we also have reflected in our guidance of the €8.1 billion. And on the coverage ratio, I mean, I said that we are always reporting it because it's the official number Polish banks use. But it's really a representative number because it's always related to the outstanding active loan volume in comparison to the provisions still at hand. Those numbers are not really totally helpful because, a, also people who have already repaid, et cetera, can come back to us and sue us. It's a small number who is doing it, but still 10% of clients are doing that. And the other part is that we have already settled a lot, more than -- or nearly 16,000, and we have also 5,000 final court decision, which means the overall provisions, which we have booked are much higher. They are now at around €3.2 billion. So we have paid out already €1.3 billion approximately or spent on this topic. What's the end, I mean, it's all dependent on rulings, the appetite of clients to do settlements with us, and I can only repeat myself, we do whatever we can do to settle. On the court rulings, our influence is a little bit less there, but we do everything to speed up the thing and to get a clear picture.
Riccardo Rovere: If I may follow up, just one second on this, Bettina, sorry. If I got it correctly, you stated at some point that on this topic of FX provisions in Poland, '24, you expect a number, but a number lower than what it was in 2020 and '23. And if I got it correctly, you have settled 16,000 cases, and you are left with 5,000. I'm not sure I got it correctly, honestly.
Bettina Orlopp: Okay. So yes, we think that the provisions should be on 2024 less than in 2023. And then they should become less and less in the years to come, '25, '26. The topic should be no longer a topic hopefully. That's what we are trying to achieve. And if you take the numbers, in total, we have 86,000 Swiss franc mortgage customers, out of which we have now settled with approximately 16,000, and we have final court decision of approximately 5,000. Then there is a lot of people who have repaid. So the total number of still active clients are 26,000, of which a vast majority, more than 20,000 are in court against mBank, that's basically the numbers. And if you want to have full transparency, just look into disclosure also of mBank, and they have been very, very transparent and very extensive on the disclosure for this topic.
Operator: The next question comes from Rohith Chandra-Rajan, Bank of America.
Rohith Chandra-Rajan: Could I come back to net interest income, please? And particularly the €13 billion of call deposit inflows that you had in the quarter. I think when you talked to us at Q4, you were pricing those new call deposits, I think you said, €375 million to €395 million. Just wondering what the pricing looked like in Q1. And then you mentioned that you've already reduced that pricing again in Q2. So where are you pricing those at now? So that would be the first question on call deposit pricing. The second one is just on deposit mix and how you expect that to evolve through the year. I think you talked earlier about some of those call deposits and term deposits moving into securities, so maybe not the negative change in mix that we've seen so far. And then the final one was just to sort of press you again a little bit, if you don't mind, on the more than 35% deposit beta that you're expecting for the year, I just wondered if you could clarify a little bit more what that number might look like, that you're assuming your NII guidance, please.
Bettina Orlopp: Okay. So I mean we have not adjusted the pricing in the first month of Q1, so that holds true. But now we have, for call money, our new offering out here, is at 3%, up to €1 million. Classical call money is just at 0.75%. And comdirect is somewhat a little bit higher. And then we also have premium account, but that's for new, new customers with a 3.6% out there. That's basically the pricing, but we currently adjusted as -- and have a review on a constant basis. On the deposit mix, we have to differentiate between Corporate Clients and private clients. I mean, on Corporate Clients, we see really a very stable level of deposit volumes, but we see still continuing trend of corporate treasurers to also improve their liquidity management. So think about how much liquidity they need for their daily business. And whatever they do not need, they also reshuffle in the direction of term and call money. But that is really flattening out because there's also a limit to it. On the private client side, it's very much dependent. I mean there's a lot of sticky money on the sight deposits, which will most likely not move. But there's still a potential that people still move some sight deposits either in call money or securities. But also this one, this trend should now slow down significantly. And all that then clearly has its impact on the deposit beta. I said at the beginning, we think that it will be higher on average for this year. But again, it's very much dependent as Riccardo just pointed out, clearly. It's also dependent on how many interest rate cuts, how fast we see by the ECB, but it's then also basically a result of interest rate level volumes and deposit beta, so we can wholeheartedly confirm our €8.1 billion.
Operator: The next question comes from Máté Nemes, UBS.
Mate Nemes: I have 3 of them, please. The first one is on acquisitions, just getting back to the interview, I think, you gave in the morning. I was wondering if you could give us a sense on the capital allocation for acquisitions. What quantum do we have to think about here? I take your view that this should be bolt-on acquisitions, mostly in asset management. But if you could clarify how many basis points, what percentage points would you plan on spending here? Are we thinking something similar like Aquila? That's the first one. And the second one would be the payout plans for this year. Obviously, you have the 70% plus plan for this year up to 100%. My question is, to what extent Polish litigation provisions influence those payout plans? And at which level did you have to perhaps reconsider going with the full amount? And it is getting close to 100% at an elevated level of still high Polish provisions acceptable. And the last question would be on loan growth in the corporate sector. It sounds like you're hopeful that we are seeing some pickup on that front in the back end of the year. Could you share any color on that? I think you said that you're seeing slight growth in investment loans as well. Any color on that would be helpful.
Bettina Orlopp: Yes. I mean, on acquisitions, I think the latest acquisitions show you that we really look on smaller acquisitions. So the 2 acquisitions we have now done, Global Pay and Aquila will have a final impact on this year's capital ratio of 10 basis points, so it's really limited. So we are not talking about big bold acquisitions, which would change, but then our capital return plans are really selective, small things we look at. On the payout plan, I mean the 70% plus is something we feel comfortable with, also independent what's happening in Poland. Clearly, the absolute number, et cetera, is dependent what's happening in Poland. But if we don't have any surprise and the burden will be below last year, so below 2023, we can just stick to our guidance, which is higher net income in '24 than in '23. And then you can do the mathematics what the capital return would be in total. And I think we also said it in the capital return policy that this will be well above the €1 billion, which we have seen for the year 2023. So there should be no change as long as we stay in these corridors. And then loan growth, we have seen a pickup in international loans. And what we now expect is the pickup in domestic loans, but there, we are very much reliant a little bit on this early indicators, the talks, the discussions our relationship managers have with our Corporate Clients, specifically the Mittelstand. And it's all dependent, I think, also now what's happening with the elections and the whole key indicators, economic indicators. When we see here a constant improvement, we will also definitely see a pickup in our loan growth.
Operator: So the next question comes from Borja Ramirez, Citi.
Borja Ramirez: I have 2. Firstly is a follow-up regarding the comments in the press this morning on acquisitions. I think there was a comment on cross-border deals. I would like to ask your thoughts on how you see domestic compared to cross-border bank consolidation and if there's any political will to foster the consolidation on the banking union. And then my second question would be how do you prioritize organic versus inorganic growth? Is it maybe more attractive to do share buybacks or maybe to use that capital to do an inorganic acquisition? I would like to see what would be your thoughts as well.
Manfred Knof: Okay. Yes. Thank you very much. I think probably we need to turn down this acquisition topic a little bit because what Bettina basically said is that whenever smaller acquisitions opportunities in the asset management area and fee business area will be available, we will have a look into that. But at the moment, we are digesting Aquila, NIXDORF and the Global Payments. So we constantly look. But I mean, it's our energy to grow basically also organically in the fee business. And with the wider offering right now for the clients, we are definitely sure that we deliver our fee income for this year and the planning period, so -- and I think what basically came up with is the macro interview. And yes, of course, midterm consolidation in -- as you said, in European banking is necessary if you want to see Europe in the middle between the U.S. and Asia, and that's why we and personally myself we put a lot of effort in the formation of the European Capital Markets Union in the midterm. But when it comes to Commerzbank, to make that absolutely clear, we are completely focused on the execution of our strategy 2027 and to earn cost of capital. And that is the best prerequisite for Commerzbank independence, and therefore, we're working, and that's what our customer wants, so I wouldn't play this topic too high.
Operator: Then the next question comes from Anke Reingen, RBC.
Anke Reingen: Just firstly, on the 2025 NII commentary, slightly below €7.9 billion. Is it basically just conservatism because obviously, it implies a larger step down versus your previous guidance? Or is there anything else that would justify that the decline is larger than previously? And then secondly, on cost, what's your expectation for levies this year and costs ex levy, should we expect them to trend upwards in the rest of the year considering inflation and potential rates changes?
Bettina Orlopp: Yes. I mean, again, on 2025, we just say it's too early to adjust the guidance. So it's nothing behind it, but we just kept our original assumptions untouched, and they lead to these results. But as I said, I would say that's rather the floor than anything else. And we will clearly give you a more closer update on that whenever we reach nearer to 2025. On the cost side, I mean bank levies, we expect somewhat €120 million lower than last year, so this has an impact. Overall, I mean, costs are -- the cost pressure is on. We also see that, specifically Q4, lots of investments come into play. So the fourth quarter is normally always a little bit higher than the rest of the quarters. And we have the negotiations of the private banks with the unions starting in summer and that might also have a small, but will have an impact on the cost base, but that's all reflected in our guidance of the 60% cost/income ratio.
Operator: The next question comes from Stefan Stalmann, Autonomous.
Stefan Stalmann: I have 2 left on my list. You mentioned in the presentation an improved net fair value result due to AT1 FX effects. Could you maybe add a little bit more color how big this roughly was? And then whether this is down to dollar weakness or any other driver? And the second question also, again, relates to the net fair value result. You're right at another place in the presentation that there was some offset between the net fair value result and NII. Could you also add a bit of color here? Was the NII positive and fair value negative? Or was it the other way around? How big was it roughly? And did this actually go across divisional lines? Or did it happen within divisions?
Bettina Orlopp: Thank you, Stefan. So on AT1, the effect that comes from our AT1 issuance, the first one we did in U.S. dollar, and we basically show in our P&L on the up and downs in the U.S. dollar-euro exchange rate. And we basically saw a burden of minus €40 million in Q4 and a positive one of plus €20 million in Q1, and that adds up to a difference of €60 million approximately. That's what it's relating to. And on fair value, I think, I mean, we should always note that the net fair value result is always strongly driven by volatile valuation effects, and therefore, it's very hard to predict. Let me state that first. But then there are 2 structural streams that you can always take into account, and you also mentioned one. One is the business results clearly in Corporate Clients from bid-offer spreads, which usually deliver more -- a little bit more than €100 million per quarter. That's one key thing we need to keep in mind. And the second one is the one you were referring to, that's the offsetting impact from increased NII in Others & Consolidation and that all happens in Others & Consolidation because as a rule of thumb, you can say that in the last quarters, there has been a negative impact on fair value out of this corresponding channels between NII and net fair value of minus €150 million in fair value. And that has been also the case in Q1. I expect a similar number for Q2. And then this hit in fair value should come slowly down because also the NII should come down because we have the first rate cuts. So if I now look on the consensus with respect to fair value, which is I think currently at minus €260 million something, I feel pretty comfortable with this number.
Operator: [Operator Instructions] The next question for now comes from Timo Dums, DZ Bank.
Timo Dums: 2 questions, please, from my side, one on NCI and the other one on RoTE. So your growth in NCI has been below your 4% target despite beneficial seasonal patterns and recent acquisitions should only become more meaningful maybe in the end of this year or more pronounced next year. So what makes you confident to reach your 4% target? This would be my question number one. And my second question is related to the RoTE. So you generated low double-digit figure in the first quarter, but you still expect a lower figure for the remainder of the year or for the full year. Could you discuss here the most important RoTE drivers? And maybe as it is linked to it, could you talk also about your cost/income ratio target of 60%, given that you outperformed this target as well?
Bettina Orlopp: Sure, Timo. So on the NCI, what makes us confident? First of all, I mean, if you look on Corporate Clients, they have shown clearly, a very, very strong quarter. So they have basically also shown the growth rate, which we expected. There's also a slight growth already in mBank, so they also confirmed that. And also, if you take the private client side and you exclude this one-time effect, which we had in Q1 2023 stemming from Commerz Real, it looks according to plan. And specifically on the private client side with all the measures taken, we expect that the net commission income will not show this sharp decline, which we have seen specifically in Q3 and Q4 in the last years, but that it will be kept at a higher level. So overall, yes, we feel very confident to reach the 4%. And then clearly, the inorganic opportunities will also help on that, but the majority will come from organic growth. On the RoTE, the 10.5% and the 58%, you could have clearly the hope that this continuous, but first quarter is always specifically good that it's due to the fact that the risk result is always very low, and this is also the case for this year. Costs are normally also lower than for the rest of the year, specifically in January, it's always a slow start, et cetera. And that's what we take into account. And then one should not forget that NII has been now at a very high level. And with the interest rate cuts, we expect now lower NII clearly for Q3 and Q4. And that putting everything together leads to the fact that, although we like the numbers, 58% and 10.5%, and we would definitely repeat those numbers that overall, we need to stay a little bit cautious still for the full year. But it gives you, I think, a good flavor of what this bank can generate as profits.
Operator: And one quick follow-up question coming from Kian Abouhossein.
Kian Abouhossein: Yes. If I may, just a quick one, more macro for Manfred. Clearly, looking at the outlook statement, but also looking at the environment in Germany in more detail, it is still very depressed. And yes, there are signs of improvement from extremely low levels. And I'm just wondering if you can talk a little bit in the context of what you see, Manfred, talking to SMEs, the Mittelstand, and in that context, clearly, also a little bit around your loan growth volume assumptions that you gave in terms of outlook.
Manfred Knof: Yes. I mean, you're absolutely right. So we are saying it's not a recession, but it's also with 0, it's not a lot of power into it. That's why we basically have the outlook the way Bettina has already mentioned this with regard to risk and the loan growth on 2 areas. I mean, it should slightly improve, but not -- there is not a super dynamic on Corporate Clients. And then, on mortgages, I think the lowest point is over. We see some improvements in the mortgage business and some pickups, but not at any levels what we have seen before the low interest rate environment. So it's coming back a little bit, but also not significantly. When you talk to the clients, I mean there are still some insecurities. I mean the energy topic is still up in the air, and they're very reluctant with regard to investments in Germany. So whenever they invest, they invest abroad, especially in the U.S. and North America, where we're happily to be at the side of our customers and help them to make their investments and to follow with them their business. So that's working well for us. But for Germany, they're still -- they're pretty reluctant on the topic. And they hope, and they're all waiting, and that's what they're saying, when the structural reform is necessary in Germany, it will be undertaken. So that is a highly political topic. And there's a huge request for a changed agenda in Germany and really attacking the structural topics where there is really slow speed into this topic. So that's basically what they say.
Operator: So then one final question at this point that we have time for. It comes from Jeremy Sigee, BNP Paribas Exane.
Jeremy Sigee: Yes. Just a quick follow-up on the buybacks. And forgive me if you clarified this, but I don't think you did. You're accruing 100% payout. You have a very big capital surplus. Is it realistic for us to imagine that you might actually pay out very close to that 100% payout this year? Is that something that's within the realms of possibility?
Bettina Orlopp: Yes, a fair question. I mean, honestly, we first generate the result. I think we have a very clear commitment out, which means that we said that for the first 3 years after the strategy announcement, we would love to return approximately €3 billion. We have now returned €1.4 billion. We can all do the mathematics of €1.6 billion. And besides that, we will have a close look on it. But first, I think it's important that we generate the results. And I think we are on a very, very good path for that. And the rest, we will see whenever the results are there.
Manfred Knof: Yes. Thank you very much for taking -- all your questions. And as always, Bettina, Christoph and the entire IR team are happy to meet you in your follow-up question, follow-up meetings. And whenever you have questions, please talk to them. So Bettina, myself and the team say thank you very much for being with us today and asking those questions. Thank you very much.